Operator: Good day ladies and gentlemen and welcome to the Fourth Quarter 2022 Earnings Conference Call for Venus Concept Inc. At this time, all participants have been placed in a listen-only mode. Please note that this conference call is being recorded and that the recording will be available on the company's website for replay. Before we begin, I would like to remind everyone that our remarks and responses to your questions today may contain forward-looking statements that are based on the current expectations of management and involve inherent risks and uncertainties that can cause actual results to differ materially from those indicated, including those identified in the Risk Factors section of our most recent 10-Q and our annual report on Form 10-K filed with the Securities and Exchange Commission. Such factors may be updated from time-to-time in our filings with the SEC, which are available on our website. We undertake no obligation to publicly update or revise our forward-looking statements as a result of new information, future events, or otherwise. This call may also include references to certain financial measures that are not calculated in accordance with the generally accepted accounting principles or GAAP. We generally refer to these as non-GAAP financial measures. Reconciliations of those non-GAAP financial measures to the most comparable measures calculated and presented in accordance with GAAP are available in our earnings press release issued today on the Investor Relations portion of our website. I would now like to turn the call over to Mr. Rajiv De Silva, Chief Executive Officer of Venus Concept. Please go ahead sir.
Rajiv De Silva: Thank you, operator, and welcome everyone to Venus Concept's fourth quarter 2022 earnings conference call. I am joined on the call today by our Chief Financial Officer, Domenic Della Penna and by our President and Chief Innovation and Business Officer, Dr. Hemanth Varghese. Let me start with an agenda of what we will cover during our prepared remarks. I will begin with a discussion of the key findings from our comprehensive strategic review of the business, which has performed the development of our transformational new strategic plan for the company going forward. Hemanth will then provide a summary of our new R&D strategy and pipeline priorities for 2023. Then, Domenic will provide you with an in-depth review of our fourth quarter financial results and our balance sheet and financial condition at year-end, as well as a review of our 2023 financial guidance. Following that, I will wrap up and open the call for your questions. With that agenda in mind, let's get started. As you would have seen in our press release issued this morning, in the fourth quarter of 2022, we delivered total revenue of 24.3 million. These results are in-line with internal expectations and reflect the early impact of strategic actions taken to transition the company to higher quality cash revenues and an improved cash flow from operations profile. These strategic actions included a shift to cash sales versus subscription sales and our efforts to improve the long-term profitability profile of our international operations. We will cover these topics in detail later in the call. Importantly, we have now completed our comprehensive strategic review of the company, which included an evaluation of its competitive positioning in the industry, commercial product strategy, R&D and technology strategy, operating model and talent, systems and processes, financial performance, capital structure, and possible partnership opportunities among other things. I am energized by the findings of our review and excited about the path ahead. My initial impressions were confirmed during the strategic review. Venus Concept is an attractive platform in medical device aesthetics with competitive offerings across all key aesthetic treatment segments, a leadership position in automated hair restoration and a distinctive R&D platform in robotics. Our customers are passionate about the benefits of Venus Concept’s existing technologies, which support the company's nearly 100 million in global annual sales and the pipeline of robotic platform applications with potential to be truly disruptive in the medical device aesthetics market in the future. Our revenue base is well diversified across our current portfolio of products with nearly two-thirds of the company's total revenue in 2022 coming from key energy based medical device, aesthetics, system sales of Versa, Legacy, Velocity, Bliss, and Bliss Max and the industry leading minimally invasive Robotic Hair Restoration platform, ARTAS iX. The business also has a valuable recurring revenue stream from the sale of procedure based consumables and services. The existing commercialized portfolio of energy-based devices and hair restoration solutions are indeed compelling. They enjoy strong brand recognition, address key unmet needs in the marketplace, and represent important growth drivers for the company going forward as they continue to gain market share in their primary addressable markets, which we estimate to be nearly 1.9 billion annually in the U.S. alone. That said, it is the company's pipeline of new and development stage technologies that represent the most significant opportunities to transform the company's growth and profitability profile in the years to come. I firmly believe that the robust technology foundation the company has built over the last 10 years is truly impressive and that the potential of our robotics platform is very much underappreciated. Venus Concept has established technology expertise across robotics and multiple modalities of energy-based devices. This technology expertise has led to the development of a diverse range of proprietary and industry-leading offerings, supported by more than 100 U.S. patents and pending applications. We will [Technical Difficulty] more color on the pipeline and our R&D strategy later-on in this call. Our comprehensive strategic review of the business, which has now been completed, also confirmed the significant challenges in the financial and organizational structure of Venus Concept. The business model had two fundamental differences versus other small cap medical technology companies, which have contributed to the lack of profitability improvement and cash flow generation to date. First, the significant commercial and operating infrastructure built in markets outside the U.S. over the company's history. And second, the industry first and highly differentiated subscription model, which enable the company's growth historically, but at the cost of poor cash flow generation. After our review, I am confident that these challenges can be addressed by a new strategy for the company. Our comprehensive assessment of the business informed the development of a transformational new strategic plan, which we have begun to execute. This new strategic plan has six main pillars. Firstly, rightsizing the business by rationalizing our international infrastructure, reducing cost, and simplifying the organization. Two, reducing reliance on the use of the subscription sales model significantly. Three, focusing on the U.S. as our primary market, while maintaining an optimal mix of direct presence and distributors in international markets. Four, maintaining a broad portfolio focus on energy based devices and robotics, but with better customer segmentation, and a more robust customer centric model to support market building. Five, investing in R&D with a primary focus in robotics as the future growth driver with targeted efforts to rejuvenate our energy based product portfolio and to build a sustainable consumables revenue base to [compliment device] [ph] sales. And six, leveraging an improved financial profile to provide a platform for inorganic growth and consolidation through M&A. Let me cover each of these elements briefly. We have already begun to implement the main actions related to rightsizing the company. As a reminder, we announced in early February, a restructuring of the company, which has now been fully implemented in North America and Israel. We continue to streamline our operations in international markets. The restructuring focused on simplifying the organization, streamlining infrastructure, targeted business model changes, and reduction of spend not directly related to sales initiatives. As previously disclosed, when completed, we expect these restructuring activities will result in total annual pretax savings of $13 million to $15 million beginning in 2024. With respect to the subscription model, while clearly innovative [Technical Difficulty] effective at driving adoption of Venus Concept's medical aesthetic technologies over the early years, the growth this model enabled came at the expense of heavy working capital investment due to the deferral of valuable cash flows. In addition, the company took on customer credit exposure, which increased due to the impacts of the COVID-19 pandemic and changes in the macro environment over the last few years. To be clear, the subscription model has a place in our go forward strategy, though with much more stringent qualification requirements. However, we have already shifted the business away from subscription sales to cash sales meaningfully, and we will continue to prioritize cash sales over subscription sales going forward. The U.S. continues to be the largest and most profitable medical device aesthetics market. With our strategic reorientation, the U.S. will be our priority focus. International markets represented between 51% and 57% of total revenue for the 2018 through 2021 fiscal year periods. While these markets continue to be important to the company, we will transition our less profitable markets to rely on distribution partners. This process began in 2022 and will continue in 2023. We believe that divesting our interests in smaller and less profitable international markets and reinvesting those resources in higher opportunity markets like the U.S. represent a key driver of profitability improvement in the future. The Venus product portfolio is distinctive [then it] [ph] enables the company to compete in a broad array of market sub segments, including face, body, hair removal, and hair restoration. We see the benefit of continuing to serve all these [modern segments] [ph] into the future. We will, however, differentiate and segment our product portfolio to better serve the needs of distinct customer segments. In addition, we will seek to better serve our customers in the key segments by utilizing data derived from our devices and by better supporting practice development efforts. We intend to continue to make investments in R&D. Our R&D efforts will be primarily focused on advancing our robotics platform in aesthetics, which we expect to be a key driver of our organic growth going forward. At the same time, we will make targeted investments to upgrade our energy based device portfolio as well. In addition, we intend to pursue more durable consumable components as part of our next generation devices as well. And finally, as we improve our financial profile, we foresee being an ideal platform for bolt-on acquisitions and combinations in this fragmented industry. As we execute this strategy, 2023 is a year of refocusing and repositioning of Venus Concept to enhance the cash flow profile of the business and to accelerate the path to long-term sustainable profitability and growth. I have a strong leadership team in place with clear responsibilities in support of our five-year strategic plan. And they are all highly engaged, focused on value creation, and ready to lead the organization through this next stage of development. We believe that our newly defined strategic plan positions us to deliver positive cash flow from operations in the second half of 2024 and GAAP operating profitability and single-digit adjusted EBITDA margins on a full-year basis in 2025, driven by prudent expense management, strong contributions to our total revenue growth from robotic system sales increasing at a 40% CAGR over the next three years and sustained performance in our energy based portfolio. This plan will provide the foundation for achieving a long-term revenue CAGR of 10% plus and double-digit adjusted EBITDA margins. While our path to maximizing multi-year value creation is taking place, we are highly focused on maximizing our capital resources as we work to secure the requisite capital to execute our strategy and meet our near-to-intermediate-term debt obligations. I would now like to turn the call over to Dr. Hemanth Varghese for a discussion of our R&D strategy and pipeline priorities.
Hemanth Varghese: Thank you, Rajiv. Venus has a strong history as a developer of high quality, non-invasive, and a minimally invasive treatment devices for the global aesthetic and hair restoration markets. We believe the value proposition underpinning our long-term growth strategy is the strength of our new product pipeline and our leading robotics and energy based device R&D teams. This dedicated group of scientists and engineers have collectively brought to market over 10 innovative energy based aesthetic platforms and now two clinical robotic systems over the past 10-plus years. With unique product offerings targeting treatment solutions for all key customer segments in face, body, hair removal, and hair restoration. As a key part of our new strategic plan, we have dedicated investment to refocus the organization towards continuous innovation, building on our successful portfolio of treatment solutions with key new product introductions and differentiated new advancements for both physician oriented and many spot focused markets, highlighting advanced features, connectivity, and customer engagement solutions to drive utilization, better treatment outcomes, and ultimately enhance ROI to our end customers. Furthermore, our robotics R&D team located at our Medical Robotics Center of Excellence in San Jose, California has decades of experience working together and a proven track record of developing proprietary technology in state of the art vision recognition, IoT, artificial intelligence and mechanical controls delivering [Technical Difficulty] treatments with predictable outcomes and they become a true engine for the company's new product development strategy. We've recently announced the introduction of the latest generation of ARTAS iX, which sets a new standard for hair transplantation by leveraging cutting edge robotics, machine vision, artificial intelligence, and machine learning technologies. This advanced system offers a new level of speed to the implantation process, now allowing the implementation of up to 1,000 grafts per hour, while also improving speed of harvesting, resulting in a procedure that is up to 25% faster. Additional improvements include the new vision system, which improves patient tracking and follicle centering, resulting in better graft quality, and enhanced precision. Going forward, this team will be a key catalyst for the future growth in the business and our new product development strategy will be an essential component to our revenue growth starting in 2024 and over the next several years. To do this and as a key part of the new strategy, we made conscious choice to refocus efforts in 2023 with targeted investments to finalize development, and bring forward two new systems by mid-2024. One of these new systems will be the brand new body contouring project called Astera. Building on everything we've learned over the last decade in innovative system design and advancing our best-in-class proprietary MP2 technology, this new all-in-one body shaping system will incorporate a full suite of new features and enhancements that will address some of the most pressing concerns we hear from customers around body contouring, including skin laxity, cellulite, and muscle training. More to come on this exciting program as [we are closer to] [ph] launch in the first half of 2024. The second is AI.ME, our next generation aesthetic robotics platform, which received FDA 510 clearance this past December for fractional skin resurfacing. We believe that AI.ME has the ability to truly revolutionize aesthetic medical treatment paradigms. The AI.ME robotics [system] [ph] utilize an advanced visualization system, machine vision, and artificial intelligence algorithms to target [the dermis] [ph] in a pre-planned selective and predictable manner. We use a smart array of micro-coring hollow punches to precisely [core, an exercise] [ph] micro skin fractions at precise depth to move up to 10% of the skin in the treatment area, leading to collagen deposition and fractional skin resurfacing of the treated area. AI.ME is the first of its kind robotics platform offering physicians minimally invasive treatments for high-demand procedures. We see AI.ME as a versatile platform, which we will continue to develop to provide innovative solutions in areas of medical aesthetics starting with fractional skin resurfacing. This new technology may become a real game changer in the area of medical aesthetics, offering a new level of consistency, predictability, and visualization, which will differentiate it from existing energy-based solutions. These critical advancements showcase Venus Concept's ongoing investment in technology innovation and clinical research towards robotics applications in the field of medical aesthetics. The AI.ME technology will be critical to maximizing the synergy between our well-established medical aesthetics business and our pioneering robotics R&D capability.  We're in the process of establishing a Medical Advisory Board of leading physician partners that will support our preparation for full commercial launch of AI.ME in the second half of 2024. Following the commercial launch of these priority products in 2024, we plan to continue with our commitment to our innovation strategy with several new technologies, systems, and features coming out over the next several years. More to come on this topic in future updates. With that, let me turn the call over to Domenic for a review of our fourth quarter financial results and balance sheet as of December 31. Domenic?
Domenic Della Penna: Thanks, Hemanth. For the avoidance of doubt, unless otherwise noted, my prepared remarks will focus on the company's reported results for the fourth quarter of 2022 on a GAAP basis and all growth related items are on a year-over-year basis. We reported GAAP revenue of 24.3 million, down 26% year-over-year. The decrease in total revenue by region was driven by a 37% decrease year-over-year in international revenue and a 14% decrease year-over-year in United States revenue. The decrease in total revenue by product category was driven by a 48% decrease in lease revenue, a 15% decrease in systems revenue, a 7% decrease in products revenue, and a 19% decrease in services revenue. The percentage of total systems revenue derived from the company's subscription model was approximately 29% in the fourth quarter of 2022, compared to 40% in the prior year period. The primary driver of the year-over-year decline in total revenue is our recent strategy to focus on quality of revenue by prioritizing cash deals over subscription deals in the United States in order to improve cash generation and preserve liquidity, as well as our proactive efforts to rationalize unprofitable international markets. Turning to a review of our fourth quarter financial results across the rest of the P&L. Gross profit decreased 7 million or 31% to 15.8 million. The change in gross profit was driven primarily by the year-over-year decline in revenue. Gross margin was 65%, compared to 70% of revenue in the fourth quarter of 2021. The change in gross margin was due to lower system sales of energy based devices, primarily sold under the subscription model as a result of our focus on cash system sales. Sales of our artist robotic systems remained strong in the fourth quarter, are sold at slightly lower margins, [ARTAS systems] [ph] are not offered on subscription and therefore were not impacted by the strategic shift to cash. The total operating expenses decreased 2.2 million or 8% to 24.7 million. The change in total operating expenses was driven by a decrease of 2.7 million or 22% in sales and marketing expenses, a decrease of 0.1 million or 3% in research and development expenses, offset partially by an increase of 0.5 million or 4% in general and administrative expenses. Fourth quarter of 2022 GAAP general and administrative expenses include restructuring plan payments of $0.7 million and $0.1 of [severance payments] [ph]. Excluding the expenses related to severance and other restructuring related activities, our non-GAAP operating expenses declined 3 million or 11% year-over-year. I want to take a moment to call your attention to an item of note as you review our fourth quarter and fiscal year 2022 GAAP operating expense results and update your financial models. As detailed in our 10-K filed with the SEC this morning, the company performed reclassifications within the operating expenses section of the statement of operations. The intent was to reclassify clinical affairs costs and clinical training costs, previously presented within general and administrative expenses and to research and development and selling and marketing expenses respectively. We have provided a detailed reconciliation of the reclassification adjustments between these GAAP operating expense line items on the company's Form 10-K filed on March 28, 2022, as well as the unaudited Form 10-Q filings for the periods 2021 and 2022. Returning to a review of our fourth quarter financial results. The total operating loss was 8.9 million, compared to 4.1 million in the fourth quarter of 2021. Net interest and other expenses were 1.9 million, compared to 1.4 million in the first quarter of 2021. Other expenses in the fourth quarter of 2022 includes 1.5 million of loss on the discontinuation of subsidiaries, specifically Venus France and Venus Argentina, compared to 0.4 million in the prior year period. Net loss attributable to stockholders for the fourth quarter of 2022 was 9.9 million or $0.14 per share, compared to 4.3 million or $0.08 per share for the fourth quarter of 2021. Adjusted EBITDA loss for the fourth quarter of 2022 was 6.3 million, compared to 2.5 million for the fourth quarter of 2021. As a reminder, we have provided a full reconciliation of our GAAP net loss to adjusted EBITDA loss in our earnings press release. Turning to the balance sheet. As of December 31, 2022, the company had cash and cash equivalents of 11.6 million and total debt obligations of approximately 77.7 million, compared to 30.9 million and 77.3 million respectively as of December 31, 2021. Cash used in operations for the three months ended December 31 was 3.4 million, a 12% decrease in cash used quarter-over-quarter. The improvement in cash used in operations was driven by improvements in working capital and the benefits of cash flow generation as a result of our initiative to focus on cash system sales. Specifically, fourth quarter working capital performance was driven by 8.4 million of cash from the combination of lower DSOs as we prioritize cash sales versus subscription sales, lower inventory investment, and reductions in advances to suppliers, which were partially offset by increases in cash used to lower payables – due to lower payables and higher accrued expenses as compared to our working capital performance in the third quarter of 2022. Cash used in operating and investing activities during the fourth quarter of 2022 was offset by 8.2 million of cash from financing activities in the period. During the fourth quarter, the company raised net proceeds of 6.5 million from a private placement in November of 2022 and raised 1.7 million of proceeds from the issuance and sale of common stock pursuant to our equity purchase agreement with Lincoln Park Capital. Turning to a review of our guidance. As detailed in our press release, we introduced our revenue guidance for the full-year 2023 period. The company expects total revenue for the 12-months ending December 31, 2023 and the range of 90 million to 95 million, representing a decrease in the range of approximately 9.5% to 4.5% year-over-year. While we are not providing formal profitability guidance for the full-year 2023, we are providing the following modeling considerations for use in evaluating our outlook for 2023. First, the 9.5% decline in revenue at the low-end of our full-year guidance range assumes total revenue growth in the second half of 2023, offset by year-over-year declines in revenue in the first half of 2023. We expect cash system sales to represent more than 70% of total subscription and system sales for full-year 2023, compared to approximately 58% for full-year 2022. This revenue mix shift is expected to result in a decline in lease revenue of approximately 16 million, offset partially by the expected growth in sales of cash systems, which we expect will increase in the high teens year-over-year. Despite the expected net decline in total subscription and systems revenue, we expect an improvement in the quality of revenue to result in improved cash generation. Our total revenue guidance for 2023 also reflects approximately 8 million of year-over-year revenue impact related to the aforementioned strategic changes, which we are implementing in our international business this year. Excluding the impacts from prioritizing cash system sales, and the strategic changes in certain international markets this year, we believe our total revenue growth would be 15% year-over-year on a normalized basis. Second, while it is not our practice to provide quarterly guidance given that we are reporting in the last week of the first fiscal quarter of 2023, we thought it would be helpful to share our range of expectations for total revenue for Q1 2023, in the interests of transparency. As such, our full-year 2023 revenue guidance includes the assumption that our first quarter total revenue will be in the range of 18 million to 19 million. Third, at the low-end of our full-year 2023 revenue range, we expect to deliver relatively flat gross margins and GAAP operating expenses in the range of approximately 91 million to 93 million. Note, the 2023 GAAP operating expense guidance range includes approximately 1.8 million of restructuring severance and other non-operating expenses, compared to approximately 1.5 million in fiscal year 2022. The 2023 GAAP operating expense guidance range also includes approximately 10.3 million of non-cash expenses, compared to approximately 13.9 million for fiscal year 2022. Specifically, we expect non-cash G&A, stock compensation, and bad debt expenses of 4 million, 2 million, 3.6 million respectively, compared to 4 million, 2 million, and 7.4 million for fiscal year 2022. Excluding the aforementioned non-operating items and non-cash expenses, our cash operating expense target is approximately 79 million to 81 million for 2023, compared to 85.4 million for fiscal year 2022. This cash expense target reflects a decline of 4 million to 6 million or 5% to 8% year-over-year, driven by the initial benefits from the restructuring activities announced in our press release in early February, offset partially by strategic investments and R&D initiatives. Note, we continue to expect the full-year benefit of our restructuring activities to result in a reduction from our 2022 GAAP operating expenses of 13 million to 15 million beginning in 2024. Fourth, we expect interest expense of approximately 6 million and weighted average diluted shares of approximately 109 million. And finally, our total revenue guidance for 2023 and our supporting modeling assumptions across the P&L are expected to result in a reduction in our cash used from operations more than 35% year-over-year. We continue to evaluate all opportunities to secure the requisite capital to fund our strategic growth initiatives. Let me now hand the call over to Rajiv to wrap up our call today. Rajiv?
Rajiv De Silva: Thank you, Domenic. I am excited by the new strategies we are implementing at Venus and energized by leading this turnaround effort. As the guidance for 2023 indicates, this is very much a transition year for the company. However, we expect to see meaningful improvements on several metrics over the course of this year. These will include year-over-year cash sales growth, reductions in expenses, and improvements in narrowing losses in our cash flow from operations. I'm confident that these improving metrics and the planned investments in R&D will set the stage for a return to growth in 2024 with projected cash flow from operations breakeven in second half 2024. We will evaluate all options to secure the funding required to fuel our turnaround and growth opportunities.  These options will include execution of cost reduction initiatives, efforts to secure non-dilutive financing through potential partnering of high priority R&D initiatives, as well as other avenues of financing available to us. I look forward to discussing our progress on future calls. Thank you very much for your time today. With that, operator, we will now open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions] And our first questions come from Marie Thibault with BTIG. Please proceed with your questions.
Marie Thibault: Hi. Good morning. Thanks so much for taking the questions. I appreciate all the detail on what's next for the company. Good to hear. I would like to hear, sort of your latest plans on extending the cash runway. You've done a nice job of reducing cash used in operations and a nice job on working capital, but would like to hear, sort of what you're thinking in terms of extending the cash runway, whether that's factoring trade receivables, there is funding opportunities, etcetera?
Rajiv De Silva: Thank you, Marie. Look, as we said over the course of our comments, we are keenly focused on extending our cash runway to fund our initiatives. We've seen an encouraging reduction in cash flow from operation losses in the fourth quarter. And as we've indicated for the full-year, we're projecting at least 35% reduction in year-over-year cash flow from operations losses. So, in other words, we continue to work on implementing cost reduction initiatives. So, I thought to the extent that we can get to the upper end of that, we'll obviously do better than planned. We continue to look at opportunities to partner our R&D projects and their continued interest from other companies in our robotics R&D platform, which is a validation of our own enthusiasm about the platform. And as you mentioned, we do continue to work on factoring some of our receivables. It is a slow process though because – and as you know these are not institutional receivables [that we, kind of factor] [ph] these individual customers and individual accounts. So, it's slow. We just don't want to promise how much we can deliver on it, but that is certainly an important priority for Domenic. As we’ve worked through our international subsidiaries and converting those to distribute relationships, there might be some opportunities for us to either sell our partner, some of these geographies as well. So, that's another level we are looking at. And obviously, given our enthusiasm about our R&D platform and the investments we need to make in the robotics platform, we will look at all opportunities available to us.
Marie Thibault: Okay. Very good, and just so that I have it in front of me, I can check my model. But what was cash used in operations in 2022? I know that's going to be reduced by 35% this year.
Domenic Della Penna: It was [20 million] [ph].
Marie Thibault: Okay.
Rajiv De Silva: It was in the mid-20s.
Marie Thibault: Okay. Mid-20s. Okay. That's helpful. And then I wanted to use my follow-up here on the R&D pipeline, very encouraging to hear two new systems coming in 2024. On AI.ME, the launch in second half of 2024, you already have 510 K approval or clearance, what is it you're hoping to accomplish, I guess, in the next 18 months or so? What needs to get done before that's ready for a full commercial launch?
Rajiv De Silva: Hemanth?
Hemanth Varghese: Sure. Yes. So, as we mentioned, we're in the process of finalizing creation of a new medical advisory board, really want to work with top clinicians in the space to make sure when we go out, we go out with a good amount of clinical data and support for the system. So, while we have clearance between that and finalization of development for manufacturing to make sure we have systems available for the demand that we're expecting. We expect a lot of work in 2023, just to make sure we get it right. This is one of those types of systems that is truly innovative and we want to make sure we position this properly when we go with full commercial launch. And so, we're going to do that with the full support of the clinical team that we're putting in place.
Rajiv De Silva: [Multiple Speakers] prior launches of the company is that we just haven't done a great job of preparing the market ahead of these launches. So that really is what we are focused on. And part of what we want to focus on medical advisory board on is really also defining our ongoing efforts towards new indications for AI.ME as well, right. So, because our expectation is that there will be a series of new indications over time for the platform. And some of the work that the medical advisory board will be doing will be defining the capacity for us as well.
Marie Thibault: Okay. Makes sense. Thank you so much for the detail and thanks for taking the questions.
Rajiv De Silva: Thank you, Marie.
Operator: Thank you. Our next questions coming from the line of Anthony Vendetti with Maxim Group. Please proceed with your questions.
Anthony Vendetti: Thanks. Yes, sure. So, Domenic, you mentioned some of the countries that you're exiting that were unprofitable. How many of those and I know some of them you're going to convert to a distributor model, but how many are you getting out of completely? And then just a follow-up on the new ARTAS system.
Domenic Della Penna: So, in 2022, we effectively exited three countries. And the plans for 2023 are in-line with another three that we're evaluating on that basis.
Anthony Vendetti: And then at AAD, you had the new ARTAS system at your booth. Can you talk about whether or not you generated any orders or sales at AAD? And then your expectation of the – or the initial traction you're seeing for that new system? What separates it, what differentiates it from the old system?
Rajiv De Silva: Sure, Anthony. This is Rajiv. Look, I think our – the reception to the new ARTAS iX, which you're calling the ARTAS iX [indiscernible] has been very encouraging. We obviously don't specifically track sales at specific events, but we did get a lot of interest at both of the AAD, as well as a lot of the regional events that we've had. Let me ask Hemanth to just kind of talk a little bit about some of the system improvements that we have in this latest version.
Hemanth Varghese: Yes. We did mention, we've gotten great feedback so far since the introduction, both from questions and other customers. Speed and efficiency is really what's about. The software enhancements, as well as on the vision system really is a fourfold increase in the rate of implantation, which is really a game changer when you look at this compared to whether it be manual procedures or augmented procedures. And so that really puts the robot in a place all its own, able to compete with the workflow that you'd expect in a normal transplant, except with all the benefits, let's say, in terms of precision or repeatability that you would get from a robotic system. So again, great feedback so far and we're early days on its release, but so far it's going really well.
Anthony Vendetti: And the pricing, is it similar or can you talk about that?
Rajiv De Silva: Yes. Look, the overall system pricing remains similar. And obviously, the way we work with our previous customers who have a ARTAS iX system versus brand new customers, the system is a little different, but the pricing has broadly remained the same.
Anthony Vendetti: Okay, great. I'll hop back in queue. Thanks.
Operator: Thank you. [Operator Instructions] Our next questions come from the line of Jeffrey Cohen with Ladenburg Thalmann. Please proceed with your questions.
Jeffrey Cohen: Good morning, gentlemen. How are you?
Rajiv De Silva: Good morning, Jeff.
Jeffrey Cohen: So, just a few questions from our end. I think firstly for Domenic, talk about inventory write-downs. I see there is, I think, 2.4 written-down in fourth quarter. And then correlate that over to inventory. I think it was [23.9 now] [ph] with some receivables around 37, and long-term receivables were 20, the effect on the outlook, what you might expect for that for this year and also some of the ramifications going to that 70% cash sales model?
Domenic Della Penna: Yes. So, Jeff, the inventory write-down we took was in the third quarter and it was 1.4 million. The reference to 2.4 million might be more on the FX side, but the inventory write-down was 1.4 million and it had to do with some cleanup in relation to some of the subsidiary discontinuations, etcetera. We had some clean up that we did and we took that charge. There was not a big inventory charge in the fourth quarter. And we're not expecting any big write-offs in 2023. As far as the inventory level goes, we really don't provide any forward indication on inventory, but we will manage inventories in-line with 2022. And we don't expect a big investment in [Technical Difficulty] we've done in the past as a result of improved supply chain and some of the conditions that we're seeing out there in terms of lead times and so on. They've improved a bit. So, that should help us. The slight offset is that as we invest in the robotics strategy, some of those component parts are a little more expensive, but net-net, we expect working capital to be a source of cash to receivables, but inventory we don't expect that to be a drain in 2023.
Jeffrey Cohen: Okay, got it. And then secondly for us, I did want to follow-up a couple of Anthony's questions on ARTAS. You could talk about the improvements, are they both hardware and/or software? And then could you walk us through the current fleet and give us an indication of the size of the fleet and utilization trends that you've seen over the past number of months? Thank you.
Hemanth Varghese: Yes. So, it’s Hemanth here. Thank you. So, we're not going to give product level guidance on sales performance or sales expectations. But as I mentioned, the system updates largely involve software upgrades, but significant improvements on both the speed and precision that are capable of the system. But there are minor hardware upgrades in terms of handling increase in data provided by the enhanced speed, but for the most part, we're talking about software upgrades to the system.
Jeffrey Cohen: Okay. That's helpful. Can you give us [Multiple Speakers].
Rajiv De Silva: One of the other things we have done is to really increase our efforts around training the persistence and precision practices. So, we actually now have in San Jose a full preceptorship procedure [room] [ph] set-up where we regularly bring in [physicians and their staff] [ph] to do training. So, all with the view of continuing to, kind of improve utilization going forward.
Jeffrey Cohen: Got it. I apologize for seeking this level of clarity, but could you talk about [explant cases] [ph] versus implant cases or cases which are using both explants and implants and give some indication there on new trends there, that would be helpful? Thank you.
Rajiv De Silva: So [Anthony] [ph], could you repeat the question again? I'm not sure I fully caught it.
Jeffrey Cohen: Trying to get a sense of hair transplantation and [indiscernible] is using ARTAS or doing both [explantation] [ph] and implantation using the ARTAS?
Hemanth Varghese: I believe we saw improvements both on the harvesting side, as well as the implantation side if that's what you're getting at? The enhancements in the new iX system actually improved the speed and quality of both.
Jeffrey Cohen: Super. That [does across] [ph]. Thanks for taking our questions.
Rajiv De Silva: Thanks, Jeff.
Hemanth Varghese: Thank you.
Operator: Thank you. Our next questions come from the line of Anthony Vendetti with Maxim Group. Please proceed with your questions.
Anthony Vendetti: Thanks. Just a couple of quick follow-ups. On the workforce reduction, is all of that [Technical Difficulty] and I know there's some charges that'll still happen in 2023, but is that largely over? And when do you expect these, I guess it seems like more second half 2023 when the efficiencies will start to be realized, is that the way to look at it?
Rajiv De Silva: Yes, that's correct. If you look at the projected 13 million to 15 million of full-year run rate savings that we are projecting for 2024, there's a component of that that is headcount and personnel. There's a component of that which is more variable expense as a component in there of reduction in lease costs. There are lots of different components, which will kick-in at different times in 2023, right? Now, in terms of the actual headcount reductions, we are completed with those restructuring puts in North America and in Israel. With international markets, it's a little bit more complex because we continue to evaluate markets in terms of profitability and for potential to move to distributor relationships. When you do that, sometimes it results in restructuring; sometimes it results in turning over our workforce to a new owner, effectively a new distributor. So, the way that transitions happen, that work a little differently, which is why it will take us the better part of this year to fully implement all of those changes.
Anthony Vendetti: Okay, great. That's all I have. Thanks.
Rajiv De Silva: Thank you.
Operator: Thank you. We are currently showing no additional participants in the queue. That does conclude our conference call for today. Thank you for your participation.